Operator: Good day, ladies and gentlemen, and thank you for standing by. Welcome to the Ingersoll Rand Fourth Quarter 2013 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded.
 I would like to hand the conference over to Janet Pfeffer, Vice President of Treasury and Investor Relations. Ma'am, please go ahead. 
Janet Pfeffer: Thank you, Karen. Good morning, everyone. Welcome to Ingersoll Rand's Fourth Quarter 2013 Conference Call. We released earnings at 7:00 a.m. this morning and the release is posted on our website. We'll be broadcasting, in addition to this call, through our website at ingersollrand.com, where you will find a slide presentation that we will be using this morning. This call will be recorded and archived on our website. 
 If you'd please go to Slide 2. Statements made in today's call that are not historical facts are considered forward-looking and are made pursuant to the Safe Harbor provisions of federal securities laws. Please see our SEC filings for a description of some of the factors that may cause actual results to vary materially from anticipated. The release also includes non-GAAP measures, which are explained in the financial tables attached to our news release.
 A couple of things of note before I turn it over to Mike. Similar to last quarter, we will be talking to adjusted margins during our commentary this morning, which includes restructuring and refinancing costs. Our news release and tables give you a reconciliation of the GAAP to adjusted margins. This is consistent with how we gave guidance all of last year. It is our intention to report with earnings and free cash flow during 2014 on a recorded basis, meaning that it will include restructuring. For comparability, we are giving you our 2014 guidance on both basis today so that you can identify the numbers with or without restructuring.
 Also, the results and outlook are reflective of the spinoff of the Security business, Allegion, completed in December. Prior-period results have been restated to reflect the impact of the spin, with historical results of the Security operations reclassified to discontinued operations. 
 We also realigned our segments, as announced in November, into Climate and Industrial. We filed 8-Ks in December and January to reflect those 2 changes.
 Now to introduce the participants on to this morning's call: Mike Lamach, Chairman and CEO; Sue Carter, Senior Vice President and CFO; and Joe Fimbianti, Director of Investor Relations. 
 With that, please turn to Slide 3, and I'll turn it over to Mike. 
Michael Lamach: Thanks, Janet. Good morning and thanks for joining us on today's call. Today we'll cover 3 broad areas. I'll spend a few minutes this morning recapping our full year 2013 and our progress on the transformation that we've been working on in the company for the past few years. And Sue will take you through the fourth quarter results. And I will end with our outlook for 2014 before we open it up for your questions. So let's start with full year 2013.
 To say 2013 was an action-packed year would be a huge understatement. We put in a terrific management team and board for Allegion and completed the spinoff exactly on schedule, on December 1, less than 12 months from the announcement. We reorganized the company into our 2 current segments: Climate and Industrial. We took aggressive actions to completely offset the costs stranded as a result of the spin. And we accomplished all of this while delivering on our growth profit and cash flow commitments for the year.
 Our revenues for the year were up 3%, with growth in all major geographic regions. Adjusted earnings per share were $2.67. You may recall that our updated guidance -- updated guidance reflects the spin, which we gave at Investor Day in November, that was in the range of $2.55 to $2.60. So we came at about $0.09 over the midpoint of that range.
 Volume was roughly 100 million better than the midpoint, which translates to about $0.05 of positive earnings impact. The tax rate was lower than forecast, resulting in $0.12 of tailwind. Corporate expenses were higher than forecast, mainly driven by benefit costs and IT investments for about $0.06 negative impact to earnings. 
 We said when we gave the guidance that things might move around a little as we finalized all the carve-out accounting of Allegion. In the end, we had about $0.02 of headwind from the final pension carve-outs for Allegion plus the $0.09 to get us to $2.57.
 We grew adjusted operating margins 40 basis points. This marks 3 years of a positive gap between pricing and direct material inflation. Our Lean focus again showed significant results in the implemented value streams and we continue to invest in the future of the business, funding significant new product development, investing into new IT platform and building our services footprint. We generated $862 million of cash flow on a post-spin basis. 
 Our capital allocation strategy has been consistent and shareholder focused. We continue to increase our dividend with the announcement of an additional 19% increase last week. This increase is consistent with the roadmap we laid out several years ago to get our payout ratio to peer levels by 2014.
 We repurchased $1.2 billion of stock in 2013 and expect to complete our current $2 billion authorization in the next couple of months. We announced a new $1.5 billion program last week, which we expect to commence in the second quarter.
 Let's go to Slide 4. We have delivered steady improvements in operating margins, while investing in new products, expanding our services footprint and our upgrading our IT systems. We have restated our results back to 2011 to reflect the spin of Allegion. The data on this chart is on a comparable basis. At the segment level, operating margins are up 150 basis points over the last 2 years. Corporate expenses have been higher, mainly due to the IT investment benefit costs, resulting in overall margins up 90 basis points since 2011.
 Now Sue will walk you through the fourth quarter and I'll come back to take you through our 2014 outlook. 
Susan Carter: Thanks, Mike. Let's go to Slide 5. Let me give you a high-level summary and then we'll dive into the detail. Our bookings for the quarter were up 5%, revenues were up 6% and our operating margins without restructuring were flat year-over-year in total and up 40 basis points at the segment level.
 Operating leverage in the quarter was below our normal standards as a result of higher IT investments, higher benefit costs and a flood at an industrial facility in China. Adjusted earnings per share for the fourth quarter were $0.61. Mike has already walked you through the math versus the guidance I gave you in November, so let's move on to orders.
 Please go to Slide 6. Orders for the fourth quarter of 2013 were up 5% on a reported basis and, excluding currency. Climate orders were up 6%. Global commercial HVAC bookings were up low-single digits, transport orders were up mid-teens, led by container orders. Orders in the Industrial segment were up 2%, with order growth in Americas and Club Car and decline in Europe and Asia.
 Let's go to Slide 7. Here's a look at the revenue trends by segment and by region. The top half of the chart shows revenue change for each sector. For the total company, fourth quarter revenues were up 6% versus last year on both a reported basis and excluding currency. Climate revenues increased 8%, with HVAC revenues up mid-single digits and transport revenues up low-teens. Residential HVAC revenues were up mid-single digits. Industrial revenues were up 1% on a reported basis and were flat, excluding currency. I'll give more color niche segment in the next few slides.
 On the bottom chart, which shows revenue change on a geographic basis, revenues were up 6% in the Americas; 4% in Europe, Middle East and Africa; and Asia was up 12%, all excluding foreign exchange. 
 And let's go to Slide 8. This chart walks through the change in adjusted operating margin from fourth quarter of 2012 of 8.5% to fourth quarter 2013, which was also 8.5%. Volume, mix and foreign exchange, collectively, were 90 basis points positive versus prior year. Our pricing programs continued to outpace material inflation, adding 20 basis points to margin. We have been saying throughout 2013 that the GAAP will stay positive between price and material inflation but then GAAP would narrow as we move through the year, which it did.
 Productivity versus other inflation was flat in terms of margin impact in the quarter. Productivity remained steady, while the offsets are in costs. Year-over-year investments and other items were higher by 110 basis points. In the box, you can see that was comprised of 40 basis points from investments, 50 basis points from higher benefit costs and 20 basis points from a flood in Shanghai, China, that occurred early in the fourth quarter.
 In the gray box at the top of the page, overall leverage was 7%, which is low by our standards. Leverage in the segment was about 20%, held down by mix in Climate and by the flood damage and disruption in Industrial. Corporate costs were higher in the quarter as anticipated, due primarily to higher benefit costs and increased IT investment. The higher benefit costs were primarily due to the timing of benefit cost adjustments for items such as pension, incentive compensation programs and health and welfare programs.  
 Please go to Slide 9. The Climate segment includes Trane commercial and residential HVAC and Thermo King transport refrigeration. Total revenues for the fourth quarter were $2.3 billion. That is up 8% versus last year on a reported basis and also up 8%, excluding currency. Global commercial HVAC orders were up low-single digits. Orders were up in the Americas and Europe and down in Asia against the tough prior-year compare. Orders were up double digits in commercial unitary HVAC, most of which shipped in the fourth quarter. Trane commercial HVAC fourth quarter revenues were up mid-single digits and were up in all major regions. Commercial HVAC equipment revenues were up mid-single digits, while HVAC parts, services and solutions revenue were up high-single digits versus the prior year.
 Thermo King orders were up mid-teens digits versus 2012's fourth quarter, with a significant increase in container orders. Thermo King revenues were up low-teens, with truck trailer revenue up low-teens and marine container revenues up significantly.
 Residential HVAC revenues were up mid-single digits versus last year and unit volumes were up low-teens. 
 The adjusted operating margin for Climate was 10% in the quarter, 60 basis points higher than the fourth quarter of 2012 due to volume and productivity, partially offset by inflation.
 Please go to Slide 10. Fourth quarter revenues for the Industrial segment were $771 million, up 1% on a reported basis and flat excluding currency. Air systems and services, power tools, fluid management and materials management revenues and orders were up slightly versus last year. Revenues in the Americas were flat, while revenues in Asia were up low-single digits and Europe were down low-single digits.
 Club Car revenues in the quarter were up low-single digits and orders were up high-single digits versus prior year. 
 Industrial's adjusted operating margin of 16.1%, flat on very little volume growth compared with last year, as productivity was offset by the impact of flood, inflation and investments.
 And let's go to Slide 11, please. For the full year, working capital as a percentage of revenue improved 40 basis points to 2.1%. Cash flow was $862 million on a post-spin basis. Cash conversion, defined as available cash flow, excluding onetime and restructuring costs divided by net earnings, was 108% for the year. 
 I've had conversations with some of you over the last few months about the definition of cash flow that we use. On a go-forward basis, consistent with Janet's remarks earlier, we will report free cash flow defined as operating cash flows, less capital expenditures. Our balance sheet remained very strong. Our return on invested capital improved to 8%. 
 And with that, I'll turn it back to Mike to take you through guidance. 
Michael Lamach: Okay. Thanks, Sue. Please go to Slide 12. To give you an update on the outlook for our key markets, I'll start with North America non-residential. And as you know, we look at a collection of data to derive our forecast. To us, Put in Place outlook, which is $1.00-based estimate for 2014, shows an overall increase of 6%. I always put a caution flag on this forecast, which over the past 4 to 5 years, has kind of start high and walk down throughout the year.
 For 2014, the Commercial and Industrial Put in Place forecast was to be up for 13%. Those markets were up 8% in 2013. With Commercial and Industrial, the strongest verticals are expected to be office and bank buildings, warehouses and garages meeting 2 to 3 top categories have a lower HVAC usage intensity. Institutional markets are expected to be down again in 2014 by 1% versus down 8% in 2013. So still negative, but institutional appears to be bottoming. Historically, institutional markets have used more applied product versus unitary. Within institutional, government is expected to be down double digits, education and dormitories down mid-single digits and hospitals up slightly. 
 The construction starts forecast for 2014, which is expressed in square footage, is expected to be up 11%, mainly due to Commercial and Industrial. Institutional starts forecast is fairly flat for 2014. Start is the longer lead indicator for us, impacting later 2014 or even 2015, depending on the type of building, equipment and services that are involved. 
 Based upon this backdrop, we expect low to mid-single-digit growth for 2014 in North American commercial HVAC, with applied equipment markets fairly flat, unitary equipment up low- to mid-single digits and service contracting and parts up mid-single digits. We expect Latin American, Asian, European and Middle East HVAC equipment markets in the aggregate to be up low- to mid-single digits in 2014.
 Emerging markets growth will be mid- to high-single digits and mature markets will be flat, up low-single digits. 
 We expect North American and European transport markets to be up low- to mid-single digits on a dollar basis in 2014. 
 U.S. residential and new construction markets continue to show good growth. We expect industry motor-bearing unit shipments for the year to be up mid-single digits in 2014, driven again by new construction. Industrial markets will remain slow, industrial production statistics have not improved in recent reports. We expect markets to be flat, up low-single digits, led by growth in services. Golf markets are expected to be up mid-single digits.
 Please go to Slide 13. Aggregating those market backdrops, we expect our revenues for full year 2014 to be up 3% to 4% versus 2013. Translating that to our full year outlook by segment, we expect Climate revenues to be up 4% to 5%. The Industrial segment revenues are forecasted to be in the range of flat to up 2%. 
 Please go to Slide 14. Transitioning to earnings, the adjusted earnings per share range is $3.05 to $3.20. Operating leverage for 2014 is expected to be about 35%. Segment operating leverage is expected to be about 25% and lower corporate expense accounts for the other 10 points. That EPS range excludes a full year placeholder for restructuring of $0.10. 2013 was truly an exceptional year, given the expense of spin-related onetime costs and restructuring. 
 As Janet said at the beginning of the call, since an ongoing $0.10 of restructuring has been a fairly normal spend rate for us over the past several years, our intention is to report on a GAAP continuing EPS basis during 2014 as we had done for the past several years prior to the spin. Therefore, for continuing EPS on a reported basis, the range of $2.95 to $3.10. This reflects the full year tax rate of 25% and an average diluted share count of 275 million shares.
 To focus on first quarter guidance, refer to the right-hand column on this chart. First quarter 2014 revenues are forecast to be up 2% to 3%. Adjusted first quarter earnings per share forecast to be $0.23 to $0.28. Restructuring costs are expected to be about $0.02 for the quarter. So on a reported basis, EPS range is $0.21 to $0.26. We're assuming a share count of 283 million shares and a tax rate of 25%.
 We have provided EPS bridges for both first quarter and full year in the Appendix should you have any questions. For the full year 2014, we expect to generate free cash flow of $900 million. 
 Please go to Slide 15. We have a strong balance sheet. During 2013, we refinanced our 2013 and 2014 maturities for lock-in attractive rates and maturity schedules. We exited 2013 with excess cash. This purely reflects the timing of the receipt of distribution from Allegion received after spinoff versus our deployment of that cash to share buyback. We should be down to a more normal cash balance in the next several months.
 The bar on far right depicts our outlook for free cash flow for 2014. It's in the range of $900 million. After paying the dividend, we look to deploy about half of the excess cash flow to continued share repurchase. That will be in a range of $400 million to $500 million from cash flow and that repurchase will begin sometime in the second quarter. We have a placeholder on the remainder of the cash flow to fund acquisition. This will be small to moderate size and will fit squarely into our core. Deployment acquisition will depend on the specific set of targets and, of course, on availability and valuation. We have a disciplined review process in place in a small but active pipeline. I would not expect anything of material size to be completed before the second half of the year. 
 To model the pipeline, we'll update that estimate as we move through the year. If we don't find acceptable targets at attractive valuation, we'd likely redeploy those funds to further share repurchases. 
 Please go to Slide 16. This slide demonstrates the significant emphasis we have had and continue to have on returning capital to shareholders through dividends and share repurchases. On the left you can see that steady increase of dividend since 2010, with a 19% increase we announced last week, bringing our per share dividend to $1 per annum. We are at our target for reaching a peer payout ratio in 2014, a target and date which we had established in 2010 and we're [ph] making ratable progress towards each year.
 The chart on the right-hand side shows the dollars allocated to share repurchase over the 4-year period, about $4.6 billion. Our board authorized a new $1.5 billion program just last week. To break down the 2014 estimate column, given that it has several components, the tan color at the bottom is the dollar amount we expect to deploy in the first quarter and that will finish out the $2 billion authorization made in December 2012. After exhausting that authorization, we'll still have about $175 million from the Allegion distribution left to spend. We expected to deploy those funds in the second quarter. And we have the $400 million to $500 million from cash flow that I described in the prior slide. That brings you to a total of $1.375 billion to $1.475 billion for full year 2014.
 Taking dividends and repurchases in the aggregate, that's about $5.5 billion of capital return to shareholders over the last 4 years.
 Please go to Slide 17. In closing, we're pleased to have delivered another solid year. We have demonstrated a multi-year trend of delivering operating leverage and margin improvement. We are finally seeing some light in portions of the construction and retrofit markets, but industrial market is slowing. Our focus is on positioning the company to continue to grow earnings and cash flow with or without help of the markets. We have proactively worked to reduce costs and improve productivity, while still making prudent investments for the future. Our new product pipeline is as strong as it's been in decades. We continue to invest in new products and service offerings, our IT infrastructure and further developing our people and our operating capabilities.
 We took the necessary actions in 2013 to fully offset the cost stranded by the spin. We've implemented a consistent shareholder focused of capital allocation program. So I'm proud of the progress we've made, the results we have delivered and, certainly optimistic about the opportunities that lie ahead for us. 
 And with that, Sue and I will be happy to take the questions. 
Operator: [Operator Instructions] Our first question comes from line of Steve Volkmann from Jefferies & Company. 
Stephen Volkmann: Just a quick one, just for clarification. When you say that in '14, you're going to report sort of your in-all numbers, are you still going to breakout for us so that we can see the restructuring? Or is that just going to be sort of varied going forward? 
Susan Carter: No, what we'll do is we'll break it out, Steve, in our commentary so that you can see it. We're just going to report on a GAAP basis. 
Stephen Volkmann: Understood. And then when I look at the Climate piece and your forecast for 2014, I'd like to get the onion peeled back maybe a layer and think a little bit about what you think pricing and mix is going to do there. Because it feels like your orders are up a little higher in Thermo King. I assume that's good for mix. But also the resi is probably not so good for mix, but then maybe you're getting less R-22. It just feels like there's a number of moving pieces on price and mix there that might be helpful. 
Susan Carter: So are you thinking more about 2014 in total for the Climate business? So let me talk about the full year on the Climate side. So as you talked about with the increasing margins and what happened, we still believe that price is going to offset any direct material inflation. We also believe that productivity is going to offset the inflation that's going on. We do think that there will be some investments in the business and that's what we've projected. But I think the year-over-year bridge looks pretty similar to what we've talked about. When we look at the operating income percentages, we expect a 40 to 80% -- 80 basis points improvement in the Climate business and so that's kind of the bridge on Climate. 
Michael Lamach: You asked a question about mix, Steve, too. I would probably add in the TK business, although units are probably forecasted to be flat in the industry, you've got the benefit of the new product, which is more expensive, the car-compliant product now launched in the marketplace. So we should see some mid-single-digit sort of revenue increase on flat volumes there. The mix there is positive. Sue mentioned sort of the commercial mix. Unitary or applied, we're fairly agnostic in terms of the margins there. The only thing about the institutional markets is they're more HVAC intensive by square foot. So we tend to see on a square foot basis larger sales going into applied markets than unitary markets. And on resi side, I think you hit it on the head. We'll see nice margin expansion there for sure. But our focus has been on repositioning the product portfolio, the dealer base. Go forward reality of a market mix, that would be 80% 13, 14 SEER and an R-22 step-down of maybe 5% to 10% of the mix in 2014. So hope that covers everything there for you. 
Operator: And our next question comes from the line of Andrew Obin from Bank of America. 
Andrew Obin: Just a question on margin in the quarter. Could you talk about a couple of things? A, productivity, if I look at your bridge, was 0% in this quarter. And the second thing, as we think about costs embedded in the businesses that have to do with the split, that need to be adjusted, how long until these costs go away and we just sort of run the businesses as usual? 
Susan Carter: So let's think about the productivity first. I mean, in the comments that we made, Andrew, we talked about that the productivity itself in the quarter was pretty standard for Q4 and what was happening was some inflation in the other costs, which we also talked about and we broke out. What I would think about is as we look forward on productivity and where we're going is in 2014 the guidance reflects sort of an operating leverage of 35%, with the segments being about 25% and another 10 points added by reductions in unallocated corporate costs. So as you think about where we are and where we're going, we're saying that there is improvement embedded in our 2014 guidance that gets us back to more of a normalized level. 
Andrew Obin: But is it going to be sort of a step-up or are we going to see sort of a gradual change over the year? 
Susan Carter: Well, I think in Q1, what you'll see is that the leverage will be lighter than the back half of the year as we continue to get cost out and we continue to move forward. But again, I think overall, 35% for the full year but, again, slightly lighter in the first quarter. 
Operator: And our next question comes from the line of Julian Mitchell from Crédit Suisse. 
Julian Mitchell: Just on the Industrial business, if you strip out Club Car, it looks like you're not really forecasting much growth at all within that business for 2014. That seems quite different from what a lot of other peer group is saying. Is there any kind of market share issue there or you're just being conservative in light of recent ISM data and so on? 
Michael Lamach: Yes, for sure, it's more conservative. I think an ISM data, which I think is a reality, actually I think it's a fairly accurate predictor for us. But compressor, air compressor systems and services, Julian, has been a great story. There has been share gain. It's been in the areas that we've been targeting. There's no issues there. As you get into the smaller businesses, tool, fluid and materials, tool in particular, our emphasis in the tool business is not in the motor vehicle industry. So we're seeing strong growth there. It's not sort of where we've played historically in that particular segment. Fluid actually is doing just fine relative to the peer comparables there. And material handling has been up historically. In the last couple of years, they're very heavy in oil and gas. And depending on what you think of the outlook there, which we think will be a little softer than it was last in the couple of years, that will be a little bit of pressure in the materials management area business for us. 
Julian Mitchell: And then just within the commercially HVAC in the U.S., you gave a lot of good color in the prepared remarks on the sort of third-party prognosis and so on. I just wondered what's your own sense of kind of incoming customer inquiries, how the bookings in Q4 shaped up versus your expectations. And again, that's the U.S. commercial HVAC, specifically. 
Michael Lamach: Yes, maybe a little bit more color around what we saw demand-wise in the fourth quarter and how I think that rolls into 2014. So I mentioned the Trane, future revenues were up high-single in the quarter. We had high single-digit increases in the Americas. We actually had very strong growth in Asia, up over 35%. So our Unitary Asia business, which is actually now a fairly substantial business for us, it's about a quarter of the size of the North American business. It's really picking up. So we're seeing good, good growth in Unitary across-the-board. Applied equipment revenues were also up high-single digits in the quarter and that was across all geographic regions. We were double-digit plus in Europe, Middle East, Latin America and Asia and low-single digits in North America. So we think that we're really bottoming, on the institutional side, I think our forecast would not have a pronounced recovery in 2014 but clearly, it's bottoming and we would expect these numbers to improve as we gave that 3-year guidance to you a couple of months ago, where 2015 and 2016 were stronger growth years than 2014. It's pretty much fueled by that institutional pickup that we would see in '15 and '16. So I think studying improving, slow institutional growth. Still very nice commercial and industrial unitary growth, particularly in North America in the markets that I mentioned. We capitalized there to make sure improvements on the new products launched in the Unitary space. So it's fairly optimistic, I would say, what we're seeing for Unitary and applied on a go-forward basis. 
Operator: And our next question comes from the line of Nigel Coe from Morgan Stanley. 
Nigel Coe: So first of all, just on the resi, low-teens growth in volumes is obviously very good. Some of your competitors have talked about a pull forward due to the cold weather, especially on the furnace side. Did you see some of that as well? And has that sort of tinted your view -- I was thinking of the right word -- but is that covering your view on 1Q '14 revenue growth? 
Michael Lamach: Actually, Nigel, it's very interesting. We've been talking now for at least 2 years around keeping on better cycle times, certainly from book to ship, but even broader than book to ship across some of the portfolio. And we really have now historically low cycle times, which is a wonderful thing. We've got very low weeks [ph] on supply on hand from a dealer perspective and we had historically high fill rates. So I feel that we're matching pretty closely as to what you're going to see with actual sell-through, as opposed to sort of the spiking and filling of the dealer. We're really trying to compete on that cycle speed and fill rate dimension. 
Nigel Coe: Okay, that's clear. And then just digging into the 25% segment incrementals for 2014, you mentioned that the price/cost tapered down as you expected. How does that look now for 2014 on a go-forward basis? And the impact of the flood, it looks like it's about $6 million within Industrial. Is that all in intra-quarter and does some of that drip through into 1Q as well? 
Susan Carter: So on the China flood, you're right, it's just slightly less than $6 million. And that's a fourth quarter charge so we don't expect to see any of that trickling over into 2014. 
Michael Lamach: Yes, so Nigel, I just want to add before Sue goes on there that, that's really an amazing story. They had sort of let you break a particular district of Shanghai. And they actually had an inch of water a minute for the first 30 minutes, 30 inches, in that first 30 minutes. So it's quite unbelievably quick sort of damage the facility and plant. They actually moved all that plant production within 5 days to a plant up the road. To this point, we were able to stop the bleeding. But really, the damage was on the material, mechanical, electrical equipment line, all of the finished goods. And then pump the plant out being able to rebuild the plant about a 6-week period. But we got it all done in the quarter. It was just really heroic effort, I think, by our team in China to react to it and get us back to business in a roughly short period of time. 
Susan Carter: And then the other question you had was on pricing. So we expect the pricing environment to be fairly modest in 2014, about 50 basis points or so of the price. We expect to be able to more than offset the material inflation with the -- but the positive GAAP that we see looks more like the end of 2013 sort of in the 10 to 20 basis points range. And then as we think about materials and all of that in 2014, there may be some noise around steel in the back half. But we're watching that and we also have looked at copper and aluminum positions. And we think that we've got that covered in the words that I just said around pricing offsetting the direct material inflation. 
Operator: And our next question comes from the line of Shannon O'Callaghan from Nomura. 
Shannon O'Callaghan: Just to clarify quick on the restructuring, in terms of where it's actually going to sit. I mean, are you going to put it in the segments or is some of that going to be incorporated? And when you talk to those year-over-year incrementals, does that include the restructuring in the prior year or is that a comment kind of on an adjusted basis? 
Susan Carter: So the restructuring that we did in 2013, so there were restructuring actions that were in every segment as well as corporate. We actually spent $44 million in the fourth quarter and $83 million in the full year, with the majority of that being on the G&A side. And where those charges or where the benefits of the restructuring will appear is where the actual charges were incurred. So it's going to incur in the segments as well as in corporate. It just so happens that you see a big piece of the stranded costs being on the corporate side and coming out on a year-over-year basis. But there will also be benefits that are in place for both the segments also. 
Michael Lamach: And to be clear, we have line of sight $0.02 in the quarter, which is a continuation and finalization of the work started in the fourth quarter around restructuring. But the balance, the $0.08, is really a placeholder there. We don't have sort of anything specific teed up, but we've got the flexibility in the guidance we've given you should the need arise that we're able to take advantage of the remaining $0.08. 
Shannon O'Callaghan: Okay. And then on Thermo King, I mean, the container stuff can obviously be really lumpy. Can you give us a sense of -- maybe a little more color on your overall view of the underlying market there for container? And I guess, just broadly, just shape out what you're thinking for '14? 
Michael Lamach: Well, the container actually tripled for us really in the quarter. We have record ever -- record shipments in November, December around container. So the notion of being lumpy is absolutely the case. And it's been a market that very, very difficult for us to forecast. It doesn't really follow any standards. You've got a couple of large players in the marketplace as customers that buy 1,000, 2,000 3,000 containers at an order. So very difficult for us to forecast that. But on the other trailer truck market, it's sort of the mid-single-digit across-the-board, where volumes are low like in North America, meaning flat to prior year. We will see the benefit, as I mentioned, of the revenue of the new product. And then Europe, we think it will be up mid-single digits. 
Operator: And our next question comes from the line of Steve Tusa from JPMorgan. 
C. Stephen Tusa: Just a follow-up to Shannon's question. So how much, I guess, just on the -- not necessarily the benefits but the restructuring costs, how much of the restructuring costs were in segments last year? Is that -- are you comparing -- is it 25% incremental compared to the newly reported last year, the adjusted -- just trying to kind of understand if the 25% incremental includes the restructuring costs year-over-year? 
Michael Lamach: Yes. On the breakout part, Steve, the golf balance, we just played the ball where it lies. Sue mentioned that. So I don't have the data here to kind of tell you that. It happened where it happened. We can follow back up with you on that. Janet, on the second part, you want to add on that? 
Janet Pfeffer: So Steve, all the data we gave on the leverage and that was x restructuring in both years. 
C. Stephen Tusa: Okay, okay, that's great. And then with all the moving parts around corporate, what is kind of the appropriate run rate that you're assuming for this year? I mean, it would just be helpful with all the noise to kind of have at least some visibility on a range, what corporate -- whether what -- either way, whether it's a quarterly run rate or what the kind of baseline is coming out the fourth quarter? Just some visibility on trying to get to a corporate number for '14. 
Susan Carter: So Steve, the way that we've looked at 2014 is that the unallocated corporate costs will be in the range of $200 million. So we talked in the past about sort of $195 million-ish to $200 million and that's where we expect to be in 2014. So that's down pretty significantly from 2013, which we've talk about $40 million of stranded costs, which we said have come out. And in addition to that, we've taken another $20 million or so in costs that we're planning to come out in 2014, then confronting such as indirect costs, paying attention to consulting any kind of indirect costs that are associated with the business. 
Operator: And our next question comes from
 [Audio Gap] 
Deane Dray: In the New York City HVAC trade show a couple of weeks ago, there was a couple of interesting developments. One is, Mike, I'd love to hear your thoughts on the upcoming 2015 new energy efficiency standards that are going to be rolled out. We've never seen this before, where it will be -- it's proposed to be done regionally. So just like we saw with the R-22, there's loopholes that were left open. This one seems wide open in terms of how people might made gain the system according to where borders are. But is there -- or too premature to think what the impact is and going to some of the higher SEERs in regions and how you might be positioned? 
Michael Lamach: Yes, Deane, I think, first of all, it's good for the industry and it's good for OEMs across the board. I wouldn't want to speculate on how each OEM would deal with the regulation -- loopholes in the regulation. I think that all OEMs need to work where demand is occurring. And so to the extent that it's going to be deployed on a regional basis, we're going to be right there selling into that demand with the repositioned dealer base and obviously, a lot of new products that you some of at the show. 
Deane Dray: Yes, one of the new products we saw at the show from you guys, which I thought was interesting, was this Web-enabled thermostat. And it raises the question as to your thoughts with Google's acquisitions of Nest, whether that changes any of the competitive dynamics. This is kind of a core strength of Trane and to see an upstart come in common like this -- but you've got a product that looks like it compete well. So just your thoughts on the applications. 
Michael Lamach: Well, it's actually a business that's been rapidly growing. It passed breakeven this year. It's about the third year that we've had it out there. #1 position in new construction, actually, as it relates to control systems being put into the home that can do more than control the HVAC system. It uses a [indiscernible] protocol, so it's got a couple of hundred plus partners that can work with it. So it's exciting, it's something that we can think we can build out from and we chose on an open protocol in an agnostic point of view about what connects to it really. 
Operator: And our next question comes from line of Jeff Sprague from Vertical Research. 
Jeffrey Sprague: I just wanted to come back around to the incrementals one more time and understanding the other maybe moving pieces in here. So the -- I would assume the $0.18 of incremental investment spending is mostly in the segments. But it seemed that you have equivalent or nearly equivalent restructuring savings and pension tailwind and the like also running through the segments. So I'm wondering, a, if that's correct? And if I'm in the ballpark there, then how do I think about the 25% incremental relative to what you've often viewed as your entitlement of being in the neighborhood of 30%? 
Susan Carter: So as we think about the leverage and what we've guided for 2014, the investments, you're correct, would be held within the segments and are part of that overall 25% coming out of the operations. And as we look at 2014, we are coming off of the restructuring where we're building, we took out the stranded costs and we're continually looking at all of the businesses. But when we look at the components, when we look at what we talked about earlier with pricing versus direct material inflation, when we look at the productivity that has been planned in the businesses and what the inflation rates are and the restructuring that we've done, where we come out is the total of 35% for the business. And again, as we said earlier, that's sort of ramps -- the first quarter is a little lighter than the other quarters, but it ramps in the other part of the year. So you get a big benefit on the corporate and the stranded costs also. 
Michael Lamach: Yes, Jeff, the investments have really worked for us, too, historically. When we go back through that, we've had both product and services investments and we've had some share gain and margin expansion in those areas. So it's consistent. It's a pretty big lift for us this year in the applied business. As we get ready to launch some new applied platform for us in 2015. That's the big year for that. And also, as we took the old sector structure and move into the business unit structures, particularly on the smaller businesses, where we put great talent sort of added it into the business, we've looked at more stand-alone investments in those business units that we historically would have done. And those are very high-margin businesses for us, so I think there's some optimism around being able to drive growth beyond 2014. 
Jeffrey Sprague: And this is as a follow-up to that. Does the investment spending peak at this level or does it remain a headwind in your opinion as you look at the out years? Or do you kind or build a cadence in there now that sustains what you're trying to do on the new product side? 
Michael Lamach: Yes, sort of the R&D rate of the engineering investment rate largely remains the same on a percentage basis. And my estimate would be is that although becoming more productive with the operating facility we put in place around it, that there's also more opportunities to launch new products and services. And so it's probably fairly consistent over time. The only thing that actually would change for us is we're probably around the corner on the IT and infrastructure investment, probably 2015. In fact, we're launching phase 2 last week and this week of our IT infrastructure program. So that'll start rounding the corner in 2013. We should see lots of investment there. And of course, by 2018, we'll start to see most of the capitalization of that program come off all together. 
Operator: Our next question comes from the line of Steven Winoker from Sanford Bernstein. 
Steven Winoker: One thing I'm still just not understanding is on the outlook for end market chart. You have that Industrial process worldwide growth of flat to low-single digits and you have golf of mid-single digits and yet you've got this flat to 2% growth in the Industrial segment. And I know you talked about mix. But is it just that the end markets you're talking about on Page 12 are different than the ones that you're competing in on Page 13? Or is this, should we just, again, interpret this as share loss? And you also talked about deceleration, but it's up a little bit since last quarter. So maybe a little clarity around the Industrial side, please. 
Michael Lamach: Yes, there's slight differences in the markets we're serving versus what the ISM data would point to. In the air business, I think there's no concerns or worries there around share loss and margin expansion. I think on the materials management side, it begins to expose the focus on oil and gas there. On the fluids side, I think we're right sort of where the market is. And then as I mentioned, on the tools business, our focus has not been on the motor vehicle industry and that's really the growth has been there. So we're not competing there. And I think that, that will be relatively flat 2014 for tools business. So if you net it all together, flat to -- it feels about right. 
Steven Winoker: Okay. And then on the opportunity on the value stream coverage side, we're talking about 40% a while ago. Is that where you ended 2013, at least in terms of coverage of the cost base? And what are you looking at for -- what do you think you'll be by the end of 2014? And how did the value stream -- how was that fitting into your view of these incrementals that you're giving us? 
Michael Lamach: X Allegion, it was actually a little above 40%. That went well because we were further penetrated outside Allegion. And we'll be around 60% at the end of this year. So that continues to go very well. And the separation, the gap between that 40-plus percent and the non-value stream is still very significant. So we'll continue to invest there and that's partly what drives the incremental margins across-the-board. So even -- Sue mentioned, with the flat Industrial business, we hope to have better than flat operating margin there. And again, that would be part of what we're with happened with the Lean work. On the Climate side, the whole sort of 40 to 80-basis-point improvement there, that has significant investments going into the business in 2014. Again, it's driven largely by all that Lean work going on. 
Operator: And our final question for today comes from the line of Eli Lustgarten from Longbow Securities. 
Eli Lustgarten: I just have a clarification question, is that, well, tax rate is a bit higher, 25%. Is that the new normalized rate that we should use for '15? Or is that a mix issue because you're making more money in this country? And looking out, no comment on FX, I assume that you're assuming neutral, but it looks like it's a little bit of a headwind. Under the investment in 2015, you call out the $0.18 as an impact. Should we assume that there's really no incremental impact in '15 or is there a lower number? How do we think about that? 
Susan Carter: Okay. So let's talk about the tax rate with our guidance for 2014 at about 25%. As you think about where we're at, so that's a big step up from the 2013 levels and where we're going, but it's largely due to the discrete items that occurred actually both in '12 and '13. So what I would say is that the normalized tax rate that I would use for the company without all of the discrete is in the mid-20s range. And so I think that is -- I think that's not only the 2014 rate but that's sort of the normal for going forward, if you were looking at '15 and beyond. 
Eli Lustgarten: And just a quick comment on FX and the investments in '15 versus '14. You called out an $0.18 incremental number this year on your bridge. But will it be much of an incremental number in '15 versus '14? 
Michael Lamach: The investments, Eli, there, for now I would assume that as a percentage of revenue. We're going to continue on the same pace. The only thing I mentioned was the SMART sort of begins to fall off in 2015. But I can't tell you that we've got our 2015 development budget set or we can't officially tell you how much less it'll be, probably a little bit less because of the SMART investment but probably not on the product and service footprint. 
Operator: And that concludes our question-and-answer session for today. I would like to turn the conference back over to management for any concluding remarks. 
Michael Lamach: Well, Joe reminded me that you've might not remember what SMART is. We keep using the internal acronym. SMART is the IT infrastructure investments we're making, so we're on Phase 2 of SMART. My apologies for using an acronym that you may not be familiar with. 
Janet Pfeffer: Thank you, everyone. And Joe and I will be around for your call later today. Have a good day. 
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This does conclude the program, you may now disconnect. Everyone, have a good day.